Operator: Good morning, ladies and gentlemen, and welcome to the Heritage-Crystal Clean Incorporated First Quarter 2022 Earnings Conference Call. Today's call is being recorded. [Operator Instructions] Some of the comments we will make today are forward looking. Generally, the words: aim, anticipate, believe, could, estimate, expect, intend, may, plan, project, should, will be, will continue, will likely result, would and similar expressions identify forward looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those anticipated by these forward looking statements. These risks and uncertainties include a variety of factors some of which are beyond our control. These forward-looking statements speak as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. Please refer to our SEC filings including our annual report on form 10-K, as well as our earnings release posted on our website for a more detailed description of the risk factors that may affect our results. Copies of these documents may be obtained from the SEC or by visiting the investor relations section of our website. Also, please note that certain financial measures we may use on this call, such as earnings before interest, taxes, depreciation and amortization or EBITDA and adjusted EBITDA are non-GAAP measures. Please see our website for reconciliations of these non-GAAP financial measures to GAAP. For more information about our company, please visit our website at www.crystal-clean.com.  With us today from the company are the President and Chief Executive Officer, Mr. Brian Recatto; and the Chief Financial Officer, Mr. Mark DeVita.  At this time, I would like to turn a call over to Brian Recatto. Please go ahead sir.
Brian Recatto: Thank you, operator. Good morning, everyone and thank you for joining us today. On behalf of the entire Crystal-Clean team, we are happy with our record first quarter earnings and are focused on taking steps to fight the unrelenting inflation we and many in our industry continue to experience. On a total company basis, we performed well during the quarter exceeding our plan from a revenue, net income and EBITDA standpoint. Mark will provide additional detail. The total first quarter revenue exceeded expectations at $139.4 million, which helped produce record first quarter EBITDA of $24.1 million, which was up 45.5% compared to EBITDA in the first quarter of 2021. Now, I would like to discuss the results in both of our reporting segments. Let's start today with the oil business segment. During the first quarter of fiscal 2022, oil business revenue was a record high for a 12 week quarter at $54.7 million, an increase of $18.8 million or 52.3% compared to $35.9 million in the first quarter of fiscal 2021. The increase in revenue was mainly due to an increase in our base oil net back of a $1.50 per gallon compared to the first quarter of 2021. Additionally, our base oil sales volume of 11.8 million gallons during the quarter was slightly higher than the volume of base oil sold during the first quarter of 2021 and further contributed to our record revenue performance. Oil business segment operating margin increased sharply to a first quarter record of 33.7% compared to 28.1% in the first quarter of fiscal 2021. The higher operating margin compared to the first quarter of 2021 was mainly due to an increase in the spread between the net back which is our sales price net of freight impact on our base oil sales and the price paid charge to our customers for the removal of their used oil. Our re-refinery team continued to execute well during the first quarter. We produced 11.9 million gallons of base oil which was 1.5% lower than the year ago quarter. We continue to demonstrate while we believe the re-refinery operation is now a strength of our oil business segment. Let's now move on to the environmental services segment. In the environmental services segment revenue for the first quarter of 2022 was $84.7 million compared to $69.5 million for the same quarter of 2021. This represents a record high for a 12-week quarter and an increase of $15.2 million or 22%. The increase in revenue was mainly due to the increase in demand for our services compared to the prior year quarter. And to a lesser extent by revenue from acquisitions made during the second half of 2021. We experienced revenue increases across all service lines in the segment when compared to the first quarter of 2021. Environmental services profit before corporate selling, general and administrative expenses was $14.1 million or 16.7% of revenue compared to $16 million or 23% of revenue in the year ago quarter. The decline in operating margin percentage was mainly due to higher transportation disposal related expenses, as well as higher container costs caused by extraordinary high inflation. Now, I would like to look forward to discuss our outlook for the future. In our environmental services segment, the first quarter produced a great result from a revenue perspective. We generated double digit revenue growth on a year-over-year basis throughout the first quarter. Assuming the overall US economy remains steady, we expect to continue to achieve double digit revenue growth during the second quarter and into the third quarter of 2022 with growth potentially moderating for the end of the year depending on macroeconomic conditions. From an operating margin standpoint, we have been facing and expect to continue to face inflationary pressure from any inputs to our service such as third party logistics, internal fuel costs, third-party waste disposal and other items. Given that we do not own and operate disposal assets in certain parts of the country or for certain types of waste, we continue to experience increased costs and surcharges from many of our vendors. We are working hard to counteract the negative impacts of these items by internalizing more industrial non-hazardous waste processing. From a pricing standpoint, we implemented price increases toward the end of the first quarter given the ongoing cost increases we're experiencing we'll be implementing additional price actions during the second quarter. Customer acceptance of the price increases we have implemented over the past six months have been relatively high. And we anticipate that we will continue to experience a similar level of acceptance with these new pricing actions. Despite the cost pressures we're experiencing. We believe the steps I just mentioned will allow us to improve operating margin throughout the remainder of the year. We expect second quarter operating margin in the environmental services segment to be approximately 20%. We foresee further improvement in the third quarter into the mid 20% range. From an oil business segment perspective, we're excited with the start we've had to fiscal 2022. High distillate pricing along with increased demand has driven crude oil refiners to prioritize the manufacturer of gasoline and diesel fuel and deemphasize the production of base oil, which is self-keep base oil supply tight relative to demand. Higher crude oil and VGO prices have also driven base oil prices higher. We believe base oil supply will continue to be tight to balance in the fourth quarter. This will lead the continued elevation of base oil prices throughout the remainder of the year. On the used oil feed stock side of the business as expected, we saw our cost increases with the bullish remove upward accrued oil price during in the first quarter. With crude price is still on the rise, we continue to feel upward pressure on used oil feed stock cost. Despite the move upward in the acquisition cost for our used oil feed stock if you compare our pay oil during the first quarter to the last time crude oil price was at a similar level during 2014, our paper oil was approximately $0.60 per gallon lower during the first quarter of 2022, compared to that earlier period. We believe this improvement used oil collection costs a clear indication of the structural improvement in the used oil re-redefining business in the past couple of years. Unfortunately inflation has also negatively impacted the oil business segment. We expect to experience higher natural gas, diesel fuel, caustic and hydrogen cost in the second and third quarters. Despite the inflationary pressure, we expect the positive base oil pricing trends to lead operating margins in the mid to high 20% range for the remainder of the year. The outlook I've just provided assumes the general economy will continue to be strong and the supply chain disruptions and inflationary pressures will gradually subside. Should this not be the case this could negatively impact our outlook. Before I turn it over to Mark, I want to discuss an exciting new opportunity for Crystal Clean. At the beginning of the second quarter, we announced our partnership with Battelle Memorial Institute to help combat the accumulation of PFOSS and other – for other chemicals, which is one of the largest environmental challenges in our generation. While the environmental benefits of working to destroy PFOSS and water are tremendous. We're just as excited about the opportunities this present for our company, employees and shareholders. These is much work to be done but by the end of the year we expect to go from successful test runs at one of our facilities to the use of production units helping us to treat our customers PFOSS water either at their facilities for large generators, or at one of our existing wastewater treatment facilities for low volume customers. We will continue to keep you updated as we make progress with the exciting new venture. With that, Mark will walk us through our first quarter financial results.
Mark DeVita: Thanks Brian. Good morning, everyone. It's great to be with you today. In the first quarter of 2022, we generated $139.4 million revenue, compared to $105.4 million in the same quarter of 2021, an increase of $34 million or 32.2%. The increase in revenue was mainly driven by higher base oil selling prices and a higher demand for our products and services, and to a lesser extent by revenue from acquisitions made during the second half of 2021. Net income was a record $12.9 million, or $0.54 per diluted share for the first quarter of 2022. This compares to net income of $9.2 million or $0.39 per diluted share in the year earlier quarter, which represents a basic earnings per share increase of 41% compared to the first quarter of 2021. To start, let's get into the details of oil business segment results. Oil business segment first quarter revenues of $54.7 million, were a record for a 12-week quarter represented an increase of $18.8 million or 52.3% compared to the first quarter of fiscal 2021. As Brian mentioned, the increase in net back was the catalyst for higher revenue. On a sequential basis, our base oil net back decreased by $0.03 per gallon compared to the fourth quarter of 2021. From a profitability standpoint, oil business segment profits before corporate SG&A expense increased by $8.4 million or 83.1% to $18.5 million, which represents a record for a first quarter. The operating margin was 33.7% in the first quarter of 2022 compared to 28.1% in the first quarter of fiscal 2021, the higher operating margin compared to the first quarter of 2021 was mainly due to an increase in the spread between the net back on our base oil sales and the price paid or charged to our customers for the removal of their used oil. The spread was up by $1.11 per gallon compared to the first quarter of 2021, but down $0.07 per gallon compared to the fourth quarter of 2021. From a used oil collection perspective, our rug truck loading efficiency also increased by 1.5% in the first quarter of 2022 compared to the first quarter of 2021. This increase was achieved in spite of the fact, that we increased the number of used oil collection sales and service representatives by approximately 12% during the quarter compared to the first quarter of 2021. The increased efficiency combined with more reps, led to a 16% increase in internally collected used oil volume during the quarter compared to the first quarter last year. As you might expect, the cost of third party used oil feed stock also increased during the quarter. The cost of this feed stock increased by $0.27 per gallon, from the fourth quarter of 2021 to the first quarter of 2022.  The increase would likely have been more, that we not decreased our volume of third party feed stock purchases by 42% compared to the first quarter of fiscal 2021. This decrease was made possible by the increase in internal used oil collection volume I mentioned earlier. The change between our net charge for used oil, during the first quarter of fiscal 2021 to net pay for oil during the first quarter of fiscal 2022 was $0.39 per gallon. Sequentially, our pay for oil increased by $0.04 per gallon from the fourth quarter of fiscal 2021 to the first quarter of fiscal 2022. Now let us discuss environmental service. The environmental services segment reported revenue of $84.7 million, an increase of $15.2 million or 21.9% compared to the year ago quarter. The 21.9% increase in revenue was mainly due to the continued increase in demand prior services, compared to the prior year quarter 10 to a lesser extent by revenue from acquisitions made during the second half of 2021. Revenue from acquisitions closed during the second half of fiscal 2021 accounted for 6.8% of the year over year revenue growth during the first quarter of fiscal 2022. We experienced volume increases across all service lines in the segment, other than 83 when compared to the first quarter of 2021, the volume growth was led by our containerized waste business and wastewater vacuum businesses. Most of our lines of business in this segment, also add a positive impact in pricing and mix compared to the first quarter of 2021. Environmental services profit before corporate selling general and administrative expenses was $14.1 million or 16.7% of revenue, compared to $16 million or 23% of revenue in the year ago quarter. In addition to the factors, Brian mentioned earlier, the decrease in operating margin was also negatively impacted by higher parts cleaning machine costs and equipment rental expenses partially offset by improved labor efficiency. As a result of these factors, and the inflationary impacts Brian mentioned earlier in both segments, our total company operating costs increased by $25 million or 32.6% during the first quarter of 2022 compared to the first quarter of fiscal 2021. Our overall corporate SG&A expense of $15.3 million represents, an increase of $1.8 million or 13.6% compared to the year ago quarter driven by an increase in software expense compensation benefits expense, legal fees and higher amortization expense. As a percentage of revenue, corporate SG&A expense during the first quarter decreased, to 11% compared to 12.8% during the first quarter of last year. EBITDA of 24.1 million was a first quarter record and up 45.5% compared to $16.5 million in the year ago quarter. The company's effective income tax rate for the first quarter of fiscal 2022 was 25.7% compared to 25.9%, in the first quarter of fiscal 2021. The rate decrease, is principally attributable to the reduced impact of certain adjustments to financial reporting income due to increased levels of profitability as compared to the first quarter of fiscal 2021. Looking at the balance sheet, we had an increase of $14.8 million in cash during the first quarter compared to year end, which resulted in a balance of $71.1 million of cash on hand at the end of the quarter. Our primary sources of liquidity for the quarter, with cash flows from operations and funds available for borrow under our revolving bank credit facility. We generated $24.6 million in cashflow from operations during the quarter, which represents a 51.8% increase compared to the first quarter of 2021. We also generated free cash flow of $15.4 million during the first quarter of 2022, compared to $10.9 million during the first quarter of 2021, for an increase of 43%. To recap, we're excited with the strong top line growth we're experiencing in our Environmental Services segment. And we're working hard to combat the negative impacts inflation is having on our business in order to restore our margin in the segment. We continue to be pleased with the execution in the oil business segment and our ability to capitalize on the structural changes in the used oil collection industry, which are allowing us to improve upon the historical economics of that business. This concludes our prepared remarks. I will now turn control of the call over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from Michael Hoffman with Stifel. Your line is open.
Michael Hoffman: Hi, Mark.
Mark DeVita: Hi, Michael.
Michael Hoffman: So many things I want to ask you and I've got two choices.
Brian Recatto: All right. Pick a good one. We'll give you three, Michael.
Michael Hoffman: No, no that's alright. Because of your 12 week cycle, there's a little bit of improvement from one to two, but then two and three, usually the same. And you take that, divide by 12 and multiply by 16, it kind of get to 4. I know that's oversimplifying, this isn't ES. Is there anything going on from a demand mix, from the growth aspect that pattern doesn't hold up in ES?
Mark DeVita: No.
Brian Recatto: No.
Mark DeVita: We love to -- we're super excited about the organic growth. Obviously, the acquisitions are contributing as well. We mentioned it this, it was about a third of the overall growth. But the organic growth is what's really got us excited. We have a lot of inbound people calling us, maybe, due to labor shortages, other competitive issues. We, I mean, I don't try and can speak for himself, but I'm super excited about the outlook there.
Brian Recatto: No, very excited. Michael, we've seen a little bit of a mix change, just because we're a larger industrial waste processor with the addition of the non-haz facility. So we are seeing more non-haz drums, but as Mark said, we’re bullish as our -- that segment is increasing dramatically. And I do think it has a little bit to do with service failures by our competitors, but it's allowed us to capture some market share. So we're really excited about that growth and it looks strong for the balance of the year. 
Mark DeVita: Yes. And the more volume we get there, from an inflationary and just cost efficiency standpoint, the better we're going to be on the initiatives, Brian. And I talk about probably at -- on Zoom here the last four quarters about internal processing and whatnot and that's where you'll start to see some of the leverage that Brian alluded to and improving margins in the coming quarters.
Brian Recatto: Yes. We have one of our plants Michael that's going to be opening up in three days. Actually, we've finished construction, but we had a waiting period for the state to come out and inspect the facility, but it'll be operational here within the next week. That site will process 2,500 drums a period, which will help us from a cost standpoint, not having the third party the waste. And I'm unbelievably excited about the wastewater business too, with just the PFOS initiative and all the excitement that that's created with the phones ringing for bulk waters. So that business is going to grow as well. It has been growing.
Michael Hoffman: Okay. So the second one I have to then use for -- I would ask about inflation and plans around how to deal with it in a more expeditious manner. But I’m going to go to used oil and when we came into this year, everybody had the perception in the used oil marketplace that the spread would normalize. Between Russia, Ukraine producing more jet fuel, diesel supply shortages, do you see any risk to this compressing in 2022? And it's more likely -- if it's going to happen at some time in 2023?
Brian Recatto: Yes. No, I don't see it compressing and -- maybe the fourth quarter, Michael, but we're not seeing it. I think we made comments in our first conference call of a year, that maybe it would moderate a bit by the fourth quarter, but we're not seeing it or feeling it right now. And as we've talked about in our prepared remarks, we're overly excited about the structural changes we're seeing in used motor oil, our ability to acquire used motor oil at a cheaper price, relative to historical performance. If you compare $100 crude, which is what we're dealing with today, versus when we dealt with it before, we're paying a lot less for it. You saw on our prepared remarks, that number, $0.60 a gallon, which is meaningful for our spread. So if we do see some price compression on the base oil front, we know we can move the price of used motor oil. So we're pretty excited about being able to maintain our spreads.
Michael Hoffman: And then the follow up on that, just to get -- when is the major maintenance in used oil, cause we do have to factor that into some of your cadence.
Brian Recatto: Yes. We've got our big turnaround which will be in September. That's the 10 day turnaround. We have a Peggy charge that'll happen in June. Nothing leads us to believe that we're going to have extraordinary shutdowns this year, the plant run extremely well. And we've been on schedule. We're meeting our production targets. You know certainly, inflation Michael has impacted the rerefinery just like it has the other businesses. We're able to overcome it with pricing a little bit easier. We will experience operating cost increases, but we're able to deal with it. Well, mostly commodity driven hydrogen cost anything that's associated with hydrocarbon production.
Mark DeVita: Yes. I mean, it's not realistic but if you look at it academically, if you didn't have that we would be guidance even higher margins in that segment. But those things are going to be headwinds.
Brian Recatto: You know and just to talk about inflation, Michael, I mean the way we changed the dynamics is unfortunately, we have to raise prices. That's the quickest needle mover and that's what we're going to do. You know we're upside down on our energy surcharges relative to our competitors. They've been hitting us extremely hard. The last couple of periods we got to -- we got to get back on top of that. We're doing it. We've raised prices twice as you know from our prepared remarks. And we'll do it again. We don't want to be predatory with our customers because it important. And we do think inflation's going to slow down towards the end of the year and we want to make sure, we're good partners with our clients, but we have to do what we have to do with the cost creep. And as we internalize more ways we can slow down the press increases.
Michael Hoffman: Thank you, very much.
Mark DeVita: Thanks, Michael.
Brian Recatto: Thank you.
Operator: We will take our next question from Jim Ricchiuti with Needham & Company. Your line is open.
Jim Ricchiuti: Hi good morning. Question I had on that the metric you provided and thank you for this year, the amount of 42% reduction from third party collected fee charge. Is that was that better than expected? I don't know how you were thinking about that entering the year and how might we think about that as you think about the business over the balance of this year?
Brian Recatto: No it's not -- it was not unexpected for us. I mean, we've been working toward that for five years now and we've been steadily increasing our direct generator business for used motor oil supply. And then we talked about our OneDrive initiative, which is more retail focused on larger used motor oil generators. Our focus is continuing to control our feed stock because it does a lot for us from a cost standpoint with route density and CPG getting the oil to the river five. So major initiative doesn't surprise us and we think we'll better maintain or improve on those numbers for the balance of the year.
Mark DeVita: Yes. I mean, we're getting close to that ability. I mean we'll always have relationships with that ability to have the independence that Brian mentioned and the part of that OneDrive program it certainly is not an afterthought. It's a joint I guess result of getting more used oil is also getting able to or being able to more easily sell the ES segment business lines, especially lines like [indiscernible] and whatnot. So, we're only starting to experience some of that, but we really think that the next couple quarters and the next year plus are going to prove that. That part of the equation is also meaningful.
Jim Ricchiuti: Got it. And just turning to the ES side of the business. A lot of puts and takes there obviously costs higher and you have passed along some price increases, sounds like another one, but I'm wondering, how we might think about that the operating margins in that business exiting the year relative to what you said three months ago. And you may have mentioned it, I may have missed, but I apologize if I did, but I think that's right. I think you had talked about 27% operating margins exiting the year in that part of the business. Has that changed just in light of everything you're seeing in the market in terms of cost?
Brian Recatto: I'll talk a bit from a macro standpoint and Mark, if he wants to chime in listen some additional details he can, but we're expecting to exit Q2 at around 20% which I commented on in my prepared remarks. That's because it's going to take us a little bit of time to get the price increase across the finish line during the quarter. We expect Q3 to exit at 25%. Obviously, we have seasonality and period -- and quarter four, so we're going to certainly point to Q3 is our high water mark in terms of exit the EBITDA margin level. And we think the operating margin level and what we're projecting 25% at this point.
Mark DeVita: I think momentum wise, Brian's right especially that back cap. It's the quirkiness of our Q4 being so long, which you are familiar with by now Jim, but you know we could even see continued growth in that. It really depends on timing and other increases. Obviously, we're in a once every 40 plus year situation. So, if we go back to our normal cadence, we had an extra boost in Q4. So, we don't know where we're going to be there, but to follow up on something Brian's said earlier, even as far as Q2, with Q2, we implemented a couple price increases and we've taken more of a rifle shot as some of these increases have gone forward. If you go back to Q4 last year, we did our normal kind of across the board thing. Some of the price actions we've taken recently, my point is they haven't taken full effect even in Q1 cause we did them right at the end of the quarter. So that's extra momentum depending on what we do in Q4. You could see certainly even more upward momentum. I think at the beginning of the quarter how that shakes out with end of Q4 seasonality will remain to be seen. But I would tell you come this time 12-weeks from now we'll probably have even more clarity for you on that
Jim Ricchiuti: Got it. Thank you. Just one quick question on PFOS if I may I'll jump back in the queue, as you think about commercializing that service and you already are but I I'm just curious what kind of – sounds like you're getting good interests out there. Is this main this I assume this is mainly your existing client base. Are there some opportunities you think to generate some new relationships as a result of this? 
Brian Recatto: Yes, I think it's going to be more new relationships than current relationships. Obviously, our client base now is small manufacturing accounts. PFOS generators are going to be department of defense complexes. You've got landfills around the country that are dealing with PFOS contaminated leakage and that'll be another source of revenue for us. So I think certainly going to be larger industrial customers. That'll be the focus for us on this PFOS initiative. And as I've said before, I don't think the markets really recognized the opportunity for us. We're going to be the first mover in destroying PFOS compounds in water. So we're really, really excited about it. It's been recognized the best technology to produce and our challenge from it in a clean water that could be discharged, all the POTWs in the country don't want to take PFAS contaminated water directly. So it's going to create – the phones are really ringing off the hook for us from an excitement standpoint, obviously we have to execute on it. We've only got a pilot plant so far but we're confident that our partner would tell nobody understands super critical water oxidation better than they do. So we're going to build a commercial version that we can operate that generator locations or at our plants. And then we're working on technologies to reduce the volume that'll be generated and fed into that unit. That'll be the next step as well. So we expect about the end of the year to do some real treatment for commercial customers.
Mark DeVita: Yes. When you break down the analysis Brian just gave you if that goes onsite customers, when you think more broadly beyond just a great PFOS opportunity, that's where we can leverage some of the rest of the menu and that's the new customer that you obviously were thinking about hint to that. And Brian confirmed. So beyond just the obvious gallonage and just crazy high volumes of PFOS out there to then have another lead in to some of these accounts that typically weren't in our target market is just tremendous.
Brian Recatto: Okay. You've got stockpiles of AFFF that are sitting out there. That'll also have to be treated and we're gearing enough to be able to do that as well already receiving calls from people that want to ship AFFF to us in containers.
Jim Ricchiuti: Thanks very much.
Mark DeVita: Thanks a lot. Thank you.
Operator: And ladies and gentlemen, this concludes today's conference call. We thank you for your participation and you may now disconnect.